Operator: Good day, ladies and gentlemen, and welcome to Universal Display's Fourth Quarter and Full Year 2016 Earnings Conference Call. My name is Shaira and I will be your conference Operator. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Ms. Darice Liu, Director of Investor Relations. Please go ahead.
Darice Liu: Thank you, Shaira, and good afternoon everyone. Welcome to Universal Display's fourth quarter earnings conference call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Executive Vice President and Chief Financial Officer. Before Steve begins, let me remind you today's call is the property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display's website. This call contains time sensitive information that is accurate only as of the date of the live webcast of this call, February 23, 2017. All statements in this conference call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, such as those relating to Universal Display Corporation's technologies and potential application of those technologies, the company's expected results, as well as the growth of the OLED market and the company's opportunities in that market. These include, but are not limited to, statements regarding Universal Display's beliefs, expectations, hopes or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display's actual results to differ from those projected. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now, I'd like to turn the call over to Steve Abramson.
Steven Abramson: Thanks, Darice, and welcome to everyone on today's call. We are pleased to report that 2016 finished on a strong note. Fourth quarter revenues were $74.6 million, operating income was $34.8 million and net income was $25.8 million or $0.55 per diluted share. Highlights for the quarter include, total emitter sales increased 25% sequentially, the adoption of our next-generation emitters commenced and we embarked on our next expansion phase with PPG Industries to double our phosphorescent emitter production capacity, which is expected to be completed in the third quarter of 2017. We have tremendous customer product roadmap activity in the pipeline for new emitters, the highest level of activity we have seen in our 20 plus year history. And we believe this momentum and strength will continue to grow in 2017 and will mark our return to double-digit revenue growth. Before reviewing the OLED activity in the display and lighting landscape that is expected to drive our multiyear growth cycle, let’s reflect back on the year 2016 for a moment. This past year was filled with a number of company accomplishments and events that build and reinforced our strong leadership position in the OLED ecosystem, including new agreements in China, the introduction and adoption of new red and green commercial emitters, the expansion of our IP portfolio with new inventions and patents from our R&D team, as well as a purchase of BASF OLED IP asset, the acquisition of the new wholly owned subsidiary Adesis, Inc. and Organic Synthesis Contract Research organization that is bolstering the acceleration of our new and next generation emitter systems, while continuing to grow its CRO business across all of its end markets. Hitting new milestones with our R&D programs including significant progress with our Organic Vapor Jet Printing tool, a ground breaking technology that utilizes the industry’s gold standard small molecule emitters in a scalable mass plus printing process as well as significant progress with our new and next generation reds, greens, yellows and blue emitters system. And with a great demand for our proprietary emitters, new capacity plans to double our phosphorous emitter production capacity at PPG. It was also an exciting year for the OLED consumer electronics industry, with the proliferation of OLEDs penetrating new applications such as introduction of the world’s first OLED gaming laptop by Alienware new hybrid OLED laptops by Lenovo and HP and even the use of OLED touch applications for ancillary functionality in PCs like the OLED touch bar, all of which received brave reviews. Through the increasing number of mainstream products including new OLED wearables such as the Apple Watch Series 2, new smart phones including new Galaxy, Samsung Galaxy A, C, J and S models, new virtual reality, augmented reality OLED headsets and new OLED TVs including LG's Magnolia 4K OLED TV. The expanding breadth of bright, beautiful, thin OLED product is captivating the consumer market and driving adoption by new OEMs for new products. At CES last month, everywhere we look we saw OLED products, several smartphone brands including ASUS and Huawei showcase their latest OLED smartphones, a number of leading brands demo OLED TVs including Sanhong, [ph] Conquer, Panasonic, Sky Worth and the newest OEM jumping on the OLED TV band wagon Sony. LG Electronics leading OLED TV maker unveiled a number of 65 inch and 77 inch OLED TVs with special design features such as crystal sound, dual view, cylinder wall, ultra slim and transparent TVs. The coolest OLED TV I saw at the show was the LG wallpaper OLED TV, breathtakingly beautifully and at just 2.57 millimeters thin less than a quarter of an inch the TV almost hangs flush to any wall with the help of magnets. Magnet, can you believe it, OLED technology is simply brilliant. In addition to the mainstream consumer market, we are also seeing growing interest from the automotive market, not just for OLED lighting application like tail lights, interior lighting and indicator lights, but also for displays. Just last month at CES Chrysler showcase its portal concept car with two OLED displays from the dashboard and infotainment center and Visteon [ph] showcased a new 12.3 inch classic flexible OLED prototype that can be used for instrument cluster or infotainment displays. This bustling end market activity is setting up the stage for our return to double-digit growth in 2017. Admitted by many in the OLED ecosystem from equipment makers to panel makers to OEMs the OLED design pipeline is significantly broadening for new product roadmaps, for new market applications, new end users and new consumer adoptees. This is fueling the multi-year CapEx cycle that is just beginning with new investments and new capacity expected to come online for the foreseeable future. As a key enabler and partner of the OLED industry new capacity means new revenue opportunities for us. As we look out we expect multiple ways of technology and capacity spending for mobile, IT, TV and lighting. In addition to markets such as automotive, VR, AR and wearables and the development and advancement of plastic OLED panels from conformable to flexible to foldable to fully rollable OLED products all of which is expected to pay UDC's positive growth trajectory for years to come. To meet the growing appetite for OLEDs our customers are investing in and building new capacity. Samsung is reportedly starting to install and ramp A3 it's Gen-6 flexible OLED fab which currently runs approximately 15,000 plates per month to its full capacity of 120,000 plates per month by the end of 2018. Once fully equipped A3 is expected to almost double Samsung's square meters of OLED capacity. Additionally there have been reports that Samsung is already looking to build its fourth OLED fab by converting one of its existing LCD production lines for another Gen-6 flexible OLED line. LG Display announced CapEx plans of over $3 billion to expand OLED production across the board. On the OLED TV front, LGD is on track with expanding its Gen-8 OLED TV light with 34,000 plates per month to 60,000 plates per month in the second half of 2017. This will help LGD meet its target of increasing its OLED TV shipments from last year's approximate 900,000 units to about 1.5 million to 1.8 million units this year and for 2018 LGD expects its OLED TV shipment output to grow to 2.8 million units capturing almost half of the premium TV market. On the small and medium front LG Display reaffirm plans to start operations of its E5 production line its first Gen-6 flexible OLED light in Gumi in the third quarter of this year. In Taiwan AUO continues to focus on wearables, virtual reality and premium smartphones, while Innolux continues to demonstrate new region of flexible AM OLED prototypes at trade shows. In Japan with its recent inflows of capital both Japan Display and Sharp are in the midst of building OLED R&D pilot lines with forecast of OLED production to begin in 2018-2019. And in China BOE technology who has been producing small qualities of OLED displays is reportedly investing over $10 billion in OLED pilot and commercial line. From a Gen-5.5 pilot line in orders for small and medium displays and Gen-8 pilot line half A4 [ph] OLED TV R&D program, BOE is also completing construction of its first Greenfield Gen-6 OLED Fab in Chengdu, with ramp up slated to begin in the second half of this year and mass production to commence early 2018. Additionally BOE announced that it would build the second Gen-6 flexible Greenfield OLED fab in Mianyang to commence production around 2019. And Tianmar [ph] who is also shipping small quantities of OLED displays is reportedly planning to invest in Gen-6 OLED line in Wuhan in 2018-2019. On the solid-state lighting front 2016 presented further advancements of OLED lighting in the automotive market from Volkswagen unveiling a new all electric concept car using OLED taillights to Audi who previously introduced the TTRS coup with optional OLED tail lights announcing that the new A8 will feature the OLED taillights and an OLED display for the infotainment system. Most recently our customers Konica Minolta and Pioneer announced an OLED lighting joint venture, this new venture will focus on automotive lighting such as taillights and interior lighting and specialty lighting applications for the beauty and medical markets. And from a capacity standpoint it has been reported that the LG Display is on track to complete the building of the world’s first Gen-5 OLED lighting fab to commence production this year. The opening of the OLED lighting fab is a significant milestone for the industry and we believe this will help propel OLED lighting from the R&D stage to broader commercial adoption. The future of OLED is bright that drive our customers to build capacity for the next relative high volume OLED production and also advancing R&D work to further commercialized OLED technology into broader markets and applications is create substantial long-term growth for the OLED industry and for us. Now, let me turn the call over to Sid.
Sidney Rosenblatt: Thank you, Steve and again thank you everyone for joining our call today. Revenues for the 2016 were $199 million, up 4% year-over-year. Our core business consisting of royalty, licensing and emitter sales grew 9% year-over-year. Royalty and license fees were $96 million or 24% from 2015 $78 million. Total emitter sales were $98 million in 2016 compared to $101 million in 2015 due to product mix. Total emitter shipments were up year-over-year. 2016 operating expenses excluding cost of materials was $104 million, up 8% from $96 million in 2015. The increase was primarily due to an increase in amortization expense from the acquisition of BASF's OLED IP assets and Adesis, Inc. Operating income were $68.4 million compared to non-GAAP operating income of $65.3 million in 2015, which excludes the 2015 inventory-write down of $33 million primarily related to host materials. Net income was $48.1 million or $1.02 per diluted share compared to non-GAAP net income of $44.8 million or $0.94 per diluted share in 2015. For the year we generated $80.3 million of cash from operations or $1.73 of cash per diluted share. Moving on to our fourth quarter results we had a solid quarter, revenue for the fourth quarter of 2016 increased 20% year-over-year to $74.6 million from fourth quarter 2015 revenues of $62.3 million. The total material sales were $29.2 million in the fourth quarter, up 5% from the comparable year-over-year’s quarter up $27.8 million. Commercial emitter revenue was $22.3 million essentially flat year-over-year from fourth quarter 2015 to $22.1 million. Commercial host sales were negligible in the fourth quarter of 2016, compared to $1.3 million in the fourth quarter of 2015. Green commercial emitter sales, which include our yellow-green emitters were $16.8 million in the fourth quarter, up 19% sequentially from the third quarter 2016 to $14.1 million and up from the comparable year-over-year’s quarter $14.3 million. Red commercial emitter sales were $5.5 million in the fourth quarter, down 2% sequentially from the third quarter 2016’s $5.6 million and down from the comparable year-over-year’s quarter $7.8 million. As we have discussed in the past, material buying patterns can vary quarter-to-quarter. Some of the contributing factors to this include material ordering pattern, customer production efficiency gains, product mix and contractual pricing reductions. Royalty and license fees were $43.6 million in the fourth quarter, up 27% year-over-year. The quarter includes Samsung’s $37.5 million license fee, our license fee which was $75 million in 2016 is recognized in the second and fourth quarter of the year. Material costs for the fourth quarter were $9.1 million, up year-over-year from the fourth quarter 2015’s $8.1 million. The increase is primarily due to cost associated with the startup and the manufacturing scale up of our new materials. Material gross margin percentage was 69% in the quarter, for the year material gross margin were 74%. Fourth quarter operating expenses, excluding cost of materials was $30.7 million, up from last quarter’s $26.8 million and up year-over-year from the comparable year's quarter of $27.6 million. Operating income was $34.8 million in the fourth quarter of 2016, up 31% from $26.6 million in the fourth quarter of 2015. Net income from the fourth quarter was $25.8 million or $0.55 per diluted share, up from the comparable year-over-year's quarter $18.1 million or $0.39 per diluted share. Shifting to the balance sheet, the fourth quarter -- in the fourth quarter we generated $40 million of cash from operations and build our and investment position to $343 million or over $7 of cash per share. Now looking to 2017 and based upon our current forecast, we expect 2017 revenues to grow to be in the range of $230 million to $250 million. Our revenue guidance include Samsung license fee, which is $90 million this year which will be recognized in two equal installments in the second and fourth quarter of the year. We would note that we have in the past in a shift in industry momentum in either direction can impact our financial results. While quarterly material gross margins can vary quarter-to-quarter we expect our overall 2017 material gross margin to be in the 70% to 75% range, which is consistent with the last few years. Operating expenses of SG&A, R&D and patent cost are expected to increase in the aggregate in the range of 10% to 15% year-over-year, primarily driven by R&D. We expect the effective tax rate to be approximately 30% give or take a few basis points. We were excited to announce that the Board of Directors has approved Universal Display's first cash dividend. Dividend payment of $0.03 per share will be paid on March 31st to stockholders of record as of the close of business on March 15, 2017. Today's announcement reflects the Board of Directors confidence in Universal Display’s robust future growth opportunities, expected continued positive cash flow generation and commitment to return capital to our shareholders. And with that let me turn the discussion back to Steve.
Steven Abramson: Thanks, Sid. Looking forward we see extremely positive momentum in our business and we believe that we are well positioned to capture the tremendous opportunities in front of us. With our bustling customer pipeline we have broadened and further increased the depth of our R&D team to respond to the exciting challenges and opportunities in the marketplace for today and tomorrow. Leveraging our scale and over two decades of knowhow our foundational long-term R&D in phosphorous OLED technology has positioned us to be able to color, increase efficiency and extend life time to meet the ever increasing and changing market requirements. This includes designing PHOLED material systems and device architectures to meet the advancing display product design specifications. Additionally we are accelerating our R&D roadmap for our cutting edge OVJP deposition system and planning out future commercialization paths. And as the next generation of lighting emerges we continue to ramp our progress in solid state OLED lighting development. All of this is possible due to the world class talent within Universal Display. I would like to take a moment to thank our employees for their continued commitment to excellence and innovation. I would also like to recognize our customers, partners and valued shareholders for your continued support. The OLED revolution is gaining strong momentum and so are we our strategic initializes and robust operating model have created a significant competitive advantage that translates to strong market leadership, revenue growth and profitability. In summary UDC is a trailblazer in the growing OLED market. We have the innovation, commitment to operational excellence, agility and flexibility to drive the invention and development of the best OLED technologies and phosphorescent materials for our customers and our partners worldwide. And on that note operator, please start the Q&A.
Operator: Certainly Mr. Abramson. [Operator Instructions] We will take our first question from Jim Ricchiuti of Needham and Company. Your line is open.
Jim Ricchiuti: Good afternoon. So wondering if you could talk a little bit about how we might see the adoption of the new emitter that you alluded to. Is this something that’s going to scale gradually do you think through the year?
Steven Abramson: We are pleased that we are shipping new red emitters, there are various emitters that are going to ship during various times during the year and it’s difficult to predict when and how much any customer will purchase at any given time and we do believe that the mix moving forward that we’ll be selling old material and new material.
Jim Ricchiuti: Okay. And Sid and then my follow-up is just wide range in terms of the revenue guidance, I think we can understand perhaps. But I wondered if you could maybe give us a sense what the biggest variables are in that range of the low end and the high end?
Sidney Rosenblatt: Jim that’s a great question, because we believe that there are new phases of capacity being installed throughout the year and into next year, but exactly when those lines are fully installed when they will ramp up, when these line will ramp up and to what degree of utilization it’s difficult for us to predict, this is still a moving part target for us. So there are a number of variables that can either accelerate or slowdown pretty much out of our control.
Jim Ricchiuti: But the biggest variable for you is capacity and when that’s turned on, fair to say.
Sidney Rosenblatt: The biggest variable when things are turned on, not installed but turned on because once state turn the tools on is when we start selling material.
Jim Ricchiuti: Okay, thanks, congrats on the quarter.
Steven Abramson: Thank you.
Operator: We will take our next question from Brian Lee of Goldman Sachs. Your line is open.
Brian Lee: Hey guys thanks for taking the questions. I had a couple if I can squeeze them in. Maybe just on the quarter itself first. Sid how big an impact did the new materials adoption have on Q4? If we look at the numbers in the K, Samsung brought their largest sales dollar volume of materials from you guys, basically since the data has been out there and your margins as you acknowledge was also substantially lower than the target range because of the new materials ramping. So just wondering if you can comment on how meaningful an impact the new materials had on the quarter and then also if you have visibility into this impact spilling over into Q1 as well?
Sidney Rosenblatt: These are initial shipments and the majority of the material sold in the quarter was our existing materials. Moving forward we expect to sell new materials, but we continue to expect to sell the existing material across this number of different products that are made. And it’s really based upon the customer orders. So we do expect them to grow, this is red and green emitters, but it’s difficult for us to say how much in any given time it will be particularly this early.
Brian Lee: Okay, fair enough. And then second question is around the guidance. The cadence of revenue is there any color you can provide there just as if we look at what happened in ‘16, it looks like you guys finished on a strong note for both yours and Steve’s comments Q4 was seasonally stronger than we typically see and then I think there is a lot of data points out in the marketplace that there are some major product launches in the OLED technology arena that might be closer to the first half middle part of the year than their typical back half cadences. So for you guys specifically do you see somewhat different cadence of revenue in 2017 first half versus back half given some of that visibility?
Sidney Rosenblatt: Our guidance is really based upon conversations with our customers and forecast taking into account, looking at our own tops down model and bottoms up model and looking at those, it looks like from it’s difficult to -- the real issue is it’s difficult to predict when tools will be turned on. Clearly there will be capacity coming online all during the year and it’s probably weighted somewhat towards the second half of the year because based upon reports from the equipment companies they are delivering equipment in the first half of this year and the second half of this year. And so it just gets -- it accumulate so if they build it -- if they deliver it in the first half that's should up and running and then you add some more in the second half. So I think is it weighted more towards the second half, somewhat.
Brian Lee: Okay. Great, now I appreciate that color. And last one if I could just squeeze it in and congratulations on announcing this, but be curious on the $0.03 dividend, first time dividend here, it seems like you would has some capacity to do more. So, just curious how you decided on the $0.03 divided and then if there is or if there was or there still is any consideration for larger one time dividend or any other shareholder return strategies as we move through 2017? Thanks guys.
Sidney Rosenblatt: Thanks, Brian. It is; A, we are very excited to declare the dividend, this is our first dividend and we intend to continue to pay regular dividends quarterly going forward. And the Board will look at all factors and we believe this is good place to start. So, as I’ve told you in the past the Board of Directors looks at all options at Board of Directors meetings and we think this was the appropriate time to start the dividend process.
Operator: We will take our next question from Mehdi Hosseini of SFG. Your line is open.
Mehdi Hosseini: Thanks so much for taking my call. I have two follow-ups, if I were to took away the Samsung licensing and royalty revenue, it seems to me that there is some level of conservatism built into your material revenue expectation or what is implied in the revenue guide, especially given the fact that some of your existing customers are seeing customer diversification, would that be the right conclusion thinking that yes there is conservatism in your material or in the implied material guide. And I have follow-up.
Sidney Rosenblatt: As I stated before, our guidance is based upon all of our conversations with our customers and our own tops down and bottoms up model and we do have a range of $230 million to $250 million and you can read into that whatever you would like. I mean this is a new industry things take time to get started everything doesn’t start exactly when we think. So, we believe today that this is probably our best estimate and then as capacity maybe start sooner than we anticipated as the year goes by we will look at it, we do look at it every quarter and we give you an update every quarter. So we are -- right now we are very confident in our numbers of $230 million to $250 million for the year.
Mehdi Hosseini: Okay. And then regarding China and owned activities going on there I imagine it will take some time for them to improve their manufacturing yield and in that context could it be reasonable to assume that incremental revenue from China is more focused on technology development and support?
Sidney Rosenblatt: Well, based upon as Steve mentioned in his prepared remarks, BOE has two pilot lines, one for TV, one for mobile sizes and their first production facility for mobile isn’t anticipated to really get completed until the end of 2017 probably not producing product until 2018 on a commercial basis, and Tianma shipping small quantities of material. So we don’t expect significant growth from either one of those in China, but we will see we will see growth.
Operator: We will take our next question from John Quealy of Canaccord Genuity. Your line is open.
Jason Rosenfeld: Hey guys thanks this is Jason Rosenfeld on for John. First maybe on capacity expansion, was this only in anticipation of the inflection or were you already brushing up against the limits? And then given your market growth expectations how long before you might to need to make another investment?
Sidney Rosenblatt: Are you referring to the PPG investment?
Jason Rosenfeld: Yes.
Sidney Rosenblatt: Okay, thank you. Steve can talk to that.
Steven Abramson: We do long-term planning for our production plant, because we have to get out well ahead of the curve. So we've been working on that this planning for quite some time and we think it will add incremental product when we needed. And of course we continue to look out for when we might need to grow an additional plant.
Sidney Rosenblatt: Yeah and we historically have been ahead of the curve we increased our capacity a few years ago and that was in anticipation and to be honest we're starting to see that inflection point now. And as Steve said we will always build excess capacity because the industry is growing and we are the leader in this industry and we want to ensure that our existing customers and that any of our customers we can always supply them with everything they need.
Jason Rosenfeld: Okay, great. And then maybe as a follow-up Adesis saw some pretty good growth maybe some of the sales and development you're putting in onto that should we expect similar growth there, is there any seasonality?
Sidney Rosenblatt: We expect that it's not going to move the needle, but we do expect to see growth in 2017 over 2016. It was $1.8 million in the fourth quarter. So we expect it to grow, but as I said it's not going to move our needle very much.
Operator: [Operator Instructions] We will take our next question from Rob Stone of Cowen and company. Your line is open.
Robert W. Stone: Hi guys. My first question is on materials gross margin you've said that the fourth quarter was affected by maybe some startup cost for new materials, but you're targeting 70 to 75 on the year. How long does that drag from new materials persist? And if the contribution by new materials was relatively small in Q4 is that going to be a bigger drag in Q1?
Sidney Rosenblatt: No we're constantly developing new materials and we're developing new materials and we provide new materials to customers on a regular basis. And then once they adapted to new emitter we then go through the scale up process. So it will be ongoing particularly this year, because there is a lot of expansion in the industry. We expect new products to come out, which would have new materials. I don't anticipate much of a drag overall, if we want to put it that way it just cost money to scale up. Our margins for the past -- our material margins for the past two or three years have been between 70% and 75%. And we fully expect 2017 to be in the same range.
Robert W. Stone: Great. My follow-up question is with respect to the tax rate, looks like Q4 came in somewhat below what we were thinking at least and then your guide for 2017 is up from that. First part of the question is what happened in the fourth quarter? And then in relation to the tax rate going forward are you still expecting because of your long-term tax planning to march that rate down in the coming years. Thanks.
Sidney Rosenblatt: The GAAP tax rate and again we're talking about GAAP because for cash purposes. We're still using NOLs. And the accounting for GAAP, for taxes as you do an estimates for the year. And then every quarter based upon your results you true it up. And as you are aware we have an Irish [ph] subsidiary that handles our material sales and then we also have revenue that comes into the U.S. It does fluctuate quarter-to-quarter based upon your results, once the subsidiaries are in a profitable mode you do get some benefits from it. So it does change and at year end when you know what’s your final results are you literally do a true up for the year. So Q4 tax rate is historically been a number that is either above or below what the average has been for the year. This is just simple accounting for international subsidiaries and the way that it works. We do expect to see our long-term tax rate continue to go down. And so we do expect ‘18, ‘19 and ‘20 to be lower than the 30%.
Robert W. Stone: If I could squeeze in one more follow-up. You talked about accelerating the roadmap for the OVJP, any sense of timeline to commercialization? Thanks.
Steven Abramson: Well, Rob we have been accelerating the R&D right now, we’re starting to talk to various people about how we might commercialize it’s going to be probably over the next few years.
Robert W. Stone: Great. Thank you.
Steven Abramson: Thank you, Rob.
Operator: We will take our next question from Andrew Abrams with Supply Chain Market Research. Your line is open.
Andrew Abrams: Thank you. Hi, guys congratulations on the quarter. And Sid I thought when you were going through the color breakdown that you said something about emitter shipment volume as oppose to emitter shipment revenue? Did -- okay can you repeat that because that’s sort of a new metric.
Sidney Rosenblatt: What I stated is we talked about emitter volumes in 2016 to be about $101 million -- I am sorry $98 million compared to $101 million but that the total emitter shipments were up year-over-year so what you do see is pricing taking in 2016 accounting for the differences.
Andrew Abrams: Okay, I just want to make sure I heard it correctly. And I know we don’t usually get additional metrics we usually loose metrics. So that’s nice to be able to at least get some reference point. Also on…
Sidney Rosenblatt: Andy we’ve put that in for you.
Andrew Abrams: Thank you very much. The green, I know it’s difficult where you break out color in the green category, but can you give us some I hate to use the word color, but can you give us some color on how the green worked was a lot of the incremental green that you saw in fourth quarter coming from the adoption of regular green emitter from one of your customers or was it what we would if expected from the TV business increasing meaning the yellow, green side?
Sidney Rosenblatt: The green commercial emitter sales were $16.8 million in the quarter it was up almost 20% from the third quarter and it was up year-over-year. We really do not breakout colors whether it’s red, green, whether it’s red-green or yellow green or new green, mainly because we really don’t -- we can’t disclose what each customer gets and that would then disclose customers.
Andrew Abrams: Okay, I tried. Thank you.
Sidney Rosenblatt: But I can’t give you the specifics.
Andrew Abrams: Got you. No, that’s it, thanks very much, I appreciate it.
Sidney Rosenblatt: Thank you, Andy.
Operator: And we will take our next question from Hendi Susanto of Gabeli & Company. Your line is open.
Hendi Susanto: Steve and Sid congrats on a strong finish to the year.
Sidney Rosenblatt: Thank you very much.
Steven Abramson: Thanks, Hendi.
Hendi Susanto: So it’s excited time for OLED there are many new companies entering OLED display production. What is you assessment in terms of whether or not the new players may encounter barriers of entry in the form of patterns for commercial production?
Sidney Rosenblatt: So I understand your question. New entrance into the market, are you talking about panel makers, or are you talking about equipment or material companies.
Hendi Susanto: Panel makers, so let say if I am a new panel maker and I want to enter OLED display production like will I need a lot of IPs or like if I buy the equipment and I think a little bit and develop some let’s say like trade secret I can do that without licensing some of the commercial production related IP?
Steven Abramson: Andy, what we are seeing right now is great acceleration in the growth of the OLED ecosystem. So the new panel makers are coming online and seems to be moving strongly and we are not hearing any sense of what you are talking about.
Hendi Susanto: Got it. And then can you specify the form factors of the new materials, do you have new emitter materials in all categories? In addition to that have you seen adoption of green emitter materials in wearables in late 2016? If not do you assume green emitter materials in wearables in 2017?
Sidney Rosenblatt: We have introduced new red and new green emissive material in the end of 2016 and we will introduce new red and green emitters during the year whether they are adopted it really depends on each of our customers. And the applications could be all over, I mean we saw material we don’t specifically know what every application would be since the customer’s recipes and formulas are their own proprietary information.
Hendi Susanto: And then do you know whether green emitter materials have been adopted in wearables or not as of today?
Sidney Rosenblatt: The wearables today have our phosphorescent emitters in them. I can’t specifically say which materials are in which wearable product, but all of the OLED wearable products in the marketplace today have our technology and material in them.
Hendi Susanto: I mean do they have both red and green?
Sidney Rosenblatt: Again that’s customer specific and I really can’t answer that question.
Hendi Susanto: Got it. And then one last question, how much additional CapEx is needed for doubling your PPG capacity in 2017 and what CapEx will look like in 2017?
Sidney Rosenblatt: We restated in our press release that the total cost of the expansion is about $15 million that's going to be our PPG. Our Internal CapEx is probably in the $5 million range, we always buy new equipment and our upgrading the equipment, but it isn’t anything that's a significant number.
Hendi Susanto: Thank you.
Sidney Rosenblatt: Thank you, Andy.
Steven Abramson: Thank you, Andy.
Operator: That concludes the question-and-answer session. I would now like to turn the program back to Sid Rosenblatt for additional or closing remarks.
Sidney Rosenblatt: Thank you for your time today. We appreciate your interest and support and we look forward to speaking with you again next year. Everyone have a good night. Thank you.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect.